Operator: Good afternoon, and welcome to iHeartMedia, Inc.'s Third Quarter 2025 Earnings Call. All participants are in a listen-only mode. After the speakers' remarks, we will have a question and answer session. As a reminder, this conference call is being recorded. I would now like to turn the call over to Michael B. McGuinness, Head of Investor Relations. Please go ahead.
Michael B. McGuinness: Good afternoon, everyone, and thank you for taking the time to join us for our third quarter 2025 earnings call. Joining me for today's discussion are Robert W. Pittman, our Chairman and CEO, and Richard J. Bressler, our President, COO, and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our performance and operating results. These statements are based on management's current expectations, and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings, including our recent 8-K filing. Additionally, during this call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation, and our SEC filings, which are available in the Investor Relations section of our website. And now, I'll turn the call over to Bob.
Robert W. Pittman: Thanks, Mike, and good afternoon, everyone. In the third quarter, even though 2025 is a non-political year, we generated adjusted EBITDA of $205 million, slightly above the midpoint of our previously provided guidance range of $180 million to $220 million and flat to the prior year. Our consolidated revenue for the quarter was at the high end of our guidance of down low single digits and was down 1.1% compared to the prior year quarter. Excluding the impact of political, our consolidated revenue was up 2.8%. Turning to our individual operating segments, the Digital Audio Group generated third quarter revenue of $342 million, up 13.5% versus prior year, above our previously provided guidance of high single digits. The Digital Audio Group generated third quarter adjusted EBITDA of $130 million, up 30.3% versus prior year, and the Digital Audio Group's adjusted EBITDA margins were 38.1% compared to 33.2% in the prior year. We are making continued progress toward our stated goal of achieving full-year adjusted EBITDA margins in the mid-30s. Within the Digital Audio Group, our podcast revenue was in line with our guidance of up low 20s; it grew 22.5% compared to prior year as we continue to feel the flywheel effect of our number one audience position in podcast publishing according to PodTrak. We believe we have the most profitable podcasting business in the United States, and importantly, our podcasting EBITDA margins remain accretive to our total company EBITDA margins. In Q3, approximately 50% of podcasting revenue was generated by our local sales force, up from about 11% in 2020, demonstrating the unique advantage of having what we believe is the largest local sales force in media, a presence across 160 markets in addition to our strong national sales force. In the third quarter, our non-podcast digital revenue grew 8% compared to prior year. Earlier today, we announced an exciting new partnership with TikTok that will bring TikTok creators into iHeart's ecosystem. This partnership will include a slate of podcasts from TikTok creators, a dedicated broadcast radio station available across the country, and expanded access to our live events starting with the 2025 Jingle Ball Tour, which will deepen creator engagement across audio and video platforms, open new monetization opportunities through integrated sponsorships and cross-platform distribution, and reinforce iHeart's unique position at the intersection of culture, content, and scale. Turning now to the Multiplatform Group, which includes our broadcast radio networks and events businesses. In the third quarter, revenue was $591 million, down 4.6% versus prior year and in line with our previously provided guidance range of down mid-single digits. Excluding the impact of political advertising, Multiplatform Group revenue was down 2.5%, and the Multiplatform Group's adjusted EBITDA was $119 million, down 8.3% versus prior year. As we mentioned last quarter, historically, we've seen that the largest advertisers and advertising agency groups are a good indicator of what's to come, and we continue to see growth in the performance of the top 50 advertisers and the four largest advertising agency groups for both the Multiplatform Group and the total company. These results give us confidence that our plan to return the Multiplatform Group to revenue growth is on the right track. What gives us further confidence in our ability to get the Multiplatform Group back into growth mode is that it all starts with audience. We have more broadcast radio listeners today than we had ten years ago and even twenty years ago. Our challenge is one of monetization. A key component in meeting that challenge is to make our broadcast inventory transact like digital, unlocking a significant monetization opportunity for the company, which will greatly benefit our broadcast revenues. On last quarter's call, we announced the hiring of Lisa Coffey as our Chief Business Officer, and I'm happy to report she's already making real progress, including last week's announcement of our programmatic audio partnership with Amazon, which provides advertising using Amazon DSP access to iHeart's vast audio portfolio. Our non-podcast digital inventory will be available immediately, and our podcast and broadcast radio inventory will follow in 2026. One of the essential components of our programmatic capability is the digital iHeart audience database, which includes the radio simulcast listening on our digital services. This enables our targeting, measurement, and attribution tools to bridge between broadcast impressions and digital identity, enabling broadcast inventory to transact in DSPs alongside streaming video and display. In essence, making our broadcast radio inventory look like digital inventory. It's important that we continue to grow and improve the proprietary audience database, and part of our investment in this initiative includes partnering with third parties through non-cash marketing plans aimed at increasing our digital audience and engagement. In turn, we provide meaningful marketing for those partners as part of this relationship. Looking at our cost structure, we're still on track to generate $150 million net savings in 2025. Rich will get into more detail, but I want to take the opportunity to announce that we have taken actions that will generate an additional $50 million of incremental annual savings beginning in 2026. As a reminder, we run the company with a relentless focus on maximizing the efficiency of our operating structure, including using new technologies like AI-powered tools and services. Now let me share with you what we're currently seeing in the ad market. We're feeling similar momentum to what some of the other ad-supported companies have discussed. Right now, spending is holding up, and discussions with advertisers are positive. At the same time, the government shutdown does add a level of uncertainty. This year continues to be an important one for iHeartMedia, Inc. The company continues to make significant progress in the growth of our digital business. We're seeing important signs of improvement in our broadcast business, specifically in the strength of our HoldCo and our biggest national advertising partners. We're making progress in our sales monetization efforts, which we expect to have wide-ranging implications for iHeartMedia, Inc., and we remain committed to our culture of innovation and efficiency. And now I'll turn it over to Rich.
Richard J. Bressler: Thank you, Bob, and good afternoon, everyone. Our Q3 2025 consolidated revenue was at the high end of our guidance of down low single digits and was down 1.1% compared to the prior year quarter. Excluding the impact of political, our consolidated revenue was up 2.8%. Let me provide you with some additional detail on our advertising revenue performance this quarter. As Bob mentioned, the continued strong performance of our largest clients and advertising agency partners is encouraging. And as a reminder, we have diversified advertising revenue. There is no advertising category greater than about 5% of our total advertising revenue and no individual advertiser that is more than about 2% of our total advertising revenue. As you can see on Slide 11, in the third quarter, the largest category gainers in terms of absolute dollars were healthcare, telecom, professional services, and retail. The four categories that declined the most in terms of absolute dollars were political, financial services, food and beverage, and entertainment. In the third quarter, our five largest advertising categories in terms of absolute dollars were healthcare, homebuilding and improvement, financial services, auto, and entertainment. Our consolidated direct operating expenses decreased 2.6% for the quarter. This decrease was primarily driven by a decrease in employee compensation costs in connection with our modernization initiatives taken in 2024, partially offset by higher variable content costs associated with the revenue growth of our digital businesses. Consolidated SG&A expenses decreased 1.1% for the quarter, driven primarily by our modernization initiatives, including decreased employee compensation costs, partially offset by increased employee health and benefit expenses. We generated a third quarter GAAP operating loss of $116 million, which includes the impact of a $29 million impairment charge directly related to the value of FCC licenses, compared to an operating income of $77 million in the prior year quarter. We generated adjusted EBITDA of $205 million, slightly above the midpoint of our previously provided guidance range of $180 million to $220 million and flat to the prior year. As a reminder, 2024 benefited from political spend related to the presidential election cycle. Before I turn to our segment performances, I also want to reiterate Bob's statement on our cost management work. We remain on track to generate $150 million of net savings in 2025. As a reminder, our Q3 results included the benefit of $40 million of net savings. In addition, this quarter, we took new actions that will generate $50 million of additional annual savings beginning in 2026, and the majority of these savings will benefit the Multiplatform Group. We have again included slides in our investor presentation, Slide 5 and 6, that provide more details on our cost savings. Turning now to the performance of our operating segments. As a reminder, there are slides in the earnings presentation on our segment performances. In the third quarter, the Digital Audio Group's revenue was $342 million, up 13.5% year over year and above our guidance of up high single digits. The Digital Audio Group's adjusted EBITDA was $130 million, up 30.3% year over year, and our Q3 adjusted EBITDA margins were 38.1%, up from 33.2% in the prior year. Within the Digital Audio Group, our podcasting revenue was $140 million, which grew 22.5% year over year in line with our guidance we provided of up low 20s. Our third quarter non-podcasting digital revenue grew 8% year over year to $202 million. Turning now to the Multiplatform Group. Revenue was $591 million, down 4.6% compared to the prior year and in line with our previously provided guidance range. Excluding the impact of political revenue, Multiplatform Group revenue was down 2.5%. Adjusted EBITDA was $119 million, down 8.3% from $130 million in the prior year quarter. The Multiplatform Group's adjusted EBITDA margins were 20.2% compared to 21% in the prior year quarter. Turning to the Audio and Media Services Group. Revenue was $67 million, down 26% year over year. As a reminder, Q3 of the prior year benefited materially from political advertising. Excluding the impact of political revenue, the Audio and Media Services Group revenue was down 3.4%. Adjusted EBITDA was $23 million, down 49.1% compared to the prior year, again, due almost entirely to the impact of political advertising in the prior year quarter. As Bob mentioned in his remarks, investment in our proprietary audience database is a key component of our sales modernization efforts. Some of that investment takes the form of marketing partnerships to drive engagement with the iHeartRadio digital services. In Q3, those relationships drove an increase in our non-cash marketing revenues, and due to the timing of our marketing campaigns, some of the corresponding expenses relating to those agreements will be recognized in subsequent periods. While we may continue to experience some quarterly mismatching of these non-cash partnership marketing campaigns in both directions, we believe that obtaining these critical marketing resources for our sales modernization initiative on a non-cash basis is a prudent way to preserve capital. In the third quarter, our free cash flow was a negative $33 million compared to $73 million in the prior year quarter. This year-over-year variance has three main drivers. Q3 of last year benefited from approximately $40 million in political revenue, which is the only advertising category that is paid in advance of the airing of the advertisement. Second, as I mentioned earlier, we generated revenue from new marketing partnerships on a non-cash basis as part of our sales modernization initiatives. Third, we were negatively impacted by the timing of working capital items that will positively impact Q4. We expect to generate meaningful free cash flow in Q4. At quarter-end, our net debt was approximately $4.7 billion. Our total liquidity was $510 million, and our cash balance was $192 million, which includes $100 million borrowed under the ABL facility, which we intend to pay back by year-end. Our quarter-ending net debt to adjusted EBITDA ratio was 6.6 times. Let me now turn to our fourth quarter guidance. We expect to generate fourth quarter adjusted EBITDA in the range of $200 million to $240 million compared to $246 million in the prior year quarter. As a reminder, the fourth quarter financial results of last year benefited from the presidential election cycle, which generated $83 million of political revenue for us. We expect our consolidated Q4 2025 revenue to be down low single digits compared to the prior year and up mid-single digits excluding the impact of political revenue. We are still closing the books for October, but we expect October revenue to be down mid-teens and approximately flat excluding the impact of political revenue from Q4 2024. Turning to the individual segments for Q4. We expect the Digital Audio Group's revenue to be up high single digits with podcasting revenue expected to grow in the mid-teens. That would mean for the full year, we expect our podcasting revenue to grow in the low 20s. We expect the Multiplatform Group's revenue to be down low single digits and up low single digits excluding the impact of political revenue. We expect the Audio and Media Services Group revenue to be down approximately 20% and up approximately 15% excluding the impact of political revenue. Now we will turn it over to the operator to take your questions. Thank you.
Operator: Thank you. Our first question comes from Aaron Watts from Deutsche Bank. Please go ahead. Your line is open.
Aaron Watts: Hi, thanks for having me on. I've got a few questions if I can sneak them in here. Rich, if I heard you correctly, on the free cash flow, there were some timing items in there that skewed this year compared to last year. Fourth quarter is going to you're going to see that reverse. As cash flows in, after you repay the ABL, how do you think about or using your excess cash towards, whether it's front-end maturities, perhaps attacking some of the some of your debts that's trading at a larger discount in the market?
Richard J. Bressler: Aaron, thanks. Thanks for the question. So just a couple of things, Jess. I think you captured correctly the point in terms of negative free cash flow for Q3 and the fact that we expect to generate meaningful cash flow and also to reiterate our plan on paying back the ABL in Q4 of this year. In terms of maturities, look, I think we've always done a pretty good job historically. The company with looking to reduce the overall cost of our capital structure. And we're gonna be opportunistic, and continue to have that one goal in mind. To create a more efficient capital structure for all of our stakeholders.
Aaron Watts: Okay. And in your MPG group, I believe your third quarter revenues excluding came in a little bit light relative to your expectations. That looks like it's trending better in 4Q overall, though I imagine CrowdOut is helping there. Can you just talk a little bit more about the underlying ad environment? What's balancing the large the momentum you're seeing with your large clients? And then maybe relatedly, as you turn the corner into 26, how we should be thinking about political and the upside you see there perhaps versus past cycles for you?
Richard J. Bressler: Well, maybe I'll just start on a couple of points. Actually, I think in terms of the Multiplatform Group, the trend and everything, you know, that came in pretty much as we expected. Into Q3 out there. So and obviously, Bob talked about in terms of our future, we'll talk about more. About our confidence and continued strengthening of that group. Just to take your last question second, on political we're not going to talk anything about specifics on political going into the 2026 election cycle. The two the only couple of things I would say is we expect it to be a strong revenue cycle for us on a political front without giving any details on any numbers. Again, when you look at our capabilities, including the build-out of our audio tech stack and all of our recent announcements on things like with Amazon and broadcast and in the DSP. We're just going to continue to be better and better equipped, to take more dollars. As we go forward as a company. Out there. But I think overall, it should be a good election year based on everything we know today. You guys will, seeing the same things on the phone that we know. Maybe Bob comment on the advertising environment.
Robert W. Pittman: Yeah. Look. I think the advertising environment is pretty good. We've looked at the looked at our big advertisers, our largest advertisers and our biggest advertising agencies, the big holdcoes. And the trends are very good. I mean, sort of no one knows what the impact of government shutdown is. But right now, we're not feeling anything on it. Continue to feel good about it.
Aaron Watts: Okay. That's helpful. And if I can just sneak one last one in. Sure. You mentioned, and we've seen a couple of announcements this past week around advancing your programmatic initiatives, including with Amazon, StackAdapt, I thought the inclusion of broadcast radio inventory was particularly you remind us where you stand with the other major DSPs now? Should these agreements be incremental to the current revenue base? And what's the timeline for this to be a material mover for the P and L?
Robert W. Pittman: I think as we look at the DSPs, we are and we have agreements with all the major DSPs, at least part of our inventory. And in the case of Amazon, we announced we'll be adding a broadcast inventory next year. In the case of DV360, we do have a broadcast inventory in there, Yahoo! As well. And we're looking at the major DSPs. We have the relationships in place. It's really building out. And as we think about programmatic in very rough terms, Rich and I think about it as really we're building another podcast business that we think it probably has that kind of flow through. And if you remember, I think it was a 2020, we did about $50 million in podcast revenue. And you see how it's grown. So our expectation is that programmatic also grows. It's roughly sort of that same trajectory. And we think it's got the same kind of potential for us in terms of developing new incremental revenue sources for the company. And so for us, we think it's very big positive for us and it's the reason we've invested so much in building out that programmatic platform.
Richard J. Bressler: Aaron, the one thing I just might add in terms of what Bob built upon, and you mentioned about Amazon. And and Bob, mentioned it, you know, in his opening remarks and the announcement that we made this morning with TikTok. The way I I and Bob gave the a a the analysis with respect to podcasting, you know, the way we think about it is we've got, as Pat commented on, our unparalleled audience. The value of that unparalleled audience. And we've got all of our platforms. And what we are constantly focused on and continue to the monetization of our existing platforms is how do we continue to look at looking at other potential new revenue streams. Off of those platforms that are on the revenue streams. You know, podcasting, is an interesting one point. Bob pointed out what the numbers were. We just I just mentioned TikTok. We talked about programmatic for broadcasting. So I think you should think about it as our constant focus to take the unique engaged audience we have and how do we continue. Get new revenue from that audience. Revenue streams.
Aaron Watts: Okay. Great. Appreciate all the detail. Thanks, guys.
Operator: Next question comes from Sebastiano Petti from JPMorgan. Please go ahead. Your line is open.
Sebastiano Petti: Hi. Thanks for taking the question, guys. Maybe just starting with podcasting for a minute there. Both Bob and Rich. You know, third quarter numbers kinda came in a little bit better than expected. I feel like, you know, this has been a common theme with you guys. I mean, anything to think about why the growth rate in podcasting might slow to the mid-teens level? It seems like you you have a relatively easier comp as you look at the prior year's growth rate relative to you know, the, you know, 2024. And also if you kinda look at it on, like, you know, two-year stack basis, seems to be, seems to be a little conservative there. So anything that maybe particular call out? And then relatedly, obviously Netflix deal, you know, also announced TikTok. Any way to perhaps unpack not necessarily looking forward guidance related to those deals, just maybe the phasing and the cadence on how long as that kinda comes on, how we should be thinking about that phasing into the P&L over time and, you know, what that could mean.
Richard J. Bressler: Yeah. Thanks for the question, Sebastiano. Look. No surprise. We're not gonna comment in terms of phasing of anything. Going forward, in terms of that and just back to the question I just answered before, with Aaron. I just you know, I think the whole bucket of, things does come under that bucket. Of, the focus of generating new revenue streams. From our unique audience that's out there. If you look at podcasting, just for a second, if you look at the first three quarters, the guys Q4, again, we look at it everything in a couple of different ways. That gives you about a 23% growth rate on revenue. From podcasting. But also, it's a little misleading because you get numbers and percentages sometimes could be misleading. If you kind of take the guidance we've given for Q4, and compare it to the actual number we just reported on for Q3, the absolute dollars in podcast revenue growth is bigger in Q4 than Q3. And again, I think, you know, it could be a middle three if you just do percentages because you're obviously, it's math. You're dealing on a bigger base and the numbers are getting bigger. But if you look at the dollars that are there, I think Q3 were up about $25 million in podcasting revenue sequentially. If you kind of do the kind of the range or know the range, we'd be up about $30 million in terms of Q4 out there for podcasting. So again, what counts is follow the money, the money, the money, not the percentages. And so it show any signs slowing down.
Robert W. Pittman: And by the way, to just add, last year, it was a lower percentage in Q4 than earlier in the year. But it was just like this year a higher number in terms of absolute dollars added in Q4. In terms of just the way we see podcasting and the way we see opportunities growing, we do think let's talk about video podcasting. I don't think there's any evidence that it's a transformation of audio to video. But what it is, is an opportunity to add video podcasting on top of the audio podcasting we have today. So again, our constant quest to find new revenue streams for our existing products. And so and if sort of look at where's that big pool of money everybody is shooting for these days, it's YouTube's got a lot on their video. And so I think it's if you look at the industry, there's a lot of discussion about that. And and we sort of see it that way not as a threat to audio but as an adjunct.
Sebastiano Petti: Rich, if I could follow-up with a phasing question you might be willing to answer. On the $50 million cost-cutting program that's going to be more hitting the numbers in 2026. How should any way to perhaps think about the phasing of that in terms of when we kind of hit full run rate? Is that a full run rate out the gate since you guys are kind of announcing it a couple of in advance here? Any just maybe way to think about that $50 million as it pertains to MPG Group's financials next year?
Richard J. Bressler: I would it's a good question. I would think about it exactly in terms of the rhythm of coming into let me go back. Yes, it is a full run rate at the beginning of the year. Very similar to where we had our $150 million program we did last year. If you look at the slides in the deck where we broke down this year's numbers on the cost program, I would look at taking the new program of $50 million and both think about it phasing in. The same way in terms of Q a little smaller in Q1. And more evenly Q2, Q3, and Q4. And I would look at it when you look at the percentages I think there's actually a slide on Page six in there. It actually kind of breaks out for you in the investor debt which shows about 61% to MPG. And I don't have to read through it, but it goes through all the different ones. It's right behind the slide on the $150 million net program.
Operator: Our next question comes from Stephen Laszczyk from Goldman Sachs. Please go ahead. Your line is open.
Stephen Laszczyk: Hey guys, great. Thanks for taking the questions. Maybe just a follow-up on podcasting a little bit longer term, but just curious as you look out into 2026, '27, if you think these levels of growth that we're seeing in the podcast business north of 20% is sustainable based on the pipeline of new content or visibility you might have into certain renewals that could potentially be up for grabs in terms of bringing new content on or the monetization levers you think could come into focus as some of these digital capabilities and inventory scale, I'd be curious on your thoughts on the sustainability of either high teens or 20 plus percent revenue growth in that side of the business.
Robert W. Pittman: Well, look, I don't want to do any projections for the future. But I will say that if you look at the trends, what you're finding is more people are listening to podcasts today than ever. And the people who are listening are listening to more episodes than ever. So we got two vectors of growth there. And of course, we're bringing more and more advertisers to podcasting as well. It's probably the hottest category in media right now. And so you're seeing the net impact of that too.
Richard J. Bressler: Yeah. And Stephen, one point I think to build upon paused advertising because the one point you didn't say, just to hit that head on, is there is the demand out there. And I would use the word the effectiveness of the advertising. There's a reason you're seeing the growth in podcasting revenue out there in terms of the consumer use. And by the way, the stickiness of it, I think it's something like approximately, I don't know, 75%, 80% of all podcasts are listened all the way through, and you can fast forward and you can do everything else. You can do it online video. Out there. And just as a reminder, it's only been a relatively small number of years that big advertisers, to Bob's point, have really come to podcasting. Prior to that, I mean, play advertising, but it was much more of a Doctor direct response medium. The reason why big advertisers come to podcasting is so important is because it brings big dollars. And then the last point, just to close off, that we started to talk about last quarter in Q2 and now Q3, now about 50% of our podcasting advertising revenue is originated locally. And if you go back, you know, I know, three, four years ago, about 10% of our podcasting revenue was originated locally. So I just think you look at all those data points. And from our standpoint, and you look at projections by all these third parties, that talk about the growth whether it goes to $4 billion, $5 billion, $3 billion, whatever, over a period of time significant growth in projected revenue for U.S.-based advertising podcasting revenue no surprise because of the effectiveness of it. You look at us continuing to take market share because of the position we have in podcasting. So I think it sets up very well. I want to just add one other thing.
Robert W. Pittman: We talked about our ad tech platform and we talked about programmatic. And we sort of focus on how that's going to help broadcast radio. But remember, it's also a vector of growth for podcasting as well to get podcasting in the programmatic DSPs as well.
Stephen Laszczyk: That's helpful. And then maybe just one on the broadcast side if I can. I'm curious, Bob, as you look at the competitive environment for advertising more holistically, there's been a lot made about AVOD inventory coming on over the last year or two. I would just be curious if you could speak to the visibility you have into competitive intensity, where we are and really that playing out. If you think that impairs maybe some of the monetization points you would make on Trash Trail Radio, you're recovering from a monetization perspective over next year. So how much of a headwind that is?
Robert W. Pittman: I don't think it's a headwind at all. As a matter of fact, I think if you talk to people in the advertising business, radio has sort of got a little bit of a renaissance here. People are talking about all the studies coming out. One just came out from WPP, major study which if you're not at it's probably worth looking at. Which makes the point that adding radio early in a campaign preconditions the consumer and the best way to get more money is to add radio to campaign. That's WPP saying that. From their study. And we've got a number of other studies which are showing the same thing. Showing that if you add radio, to a social campaign, the response rate I think is up like 83%. As you think about if you're an advertiser, you say, okay, need more need more business. Well, I can either spend more money on the increasing my social spend or I can spend money on radio to get more response rate out of my existing social spend. And I think they're finding that that ladder is a much more economic choice. And also at the same time they get the added benefit of getting brand building as well on top of their performance marketing. So actually we're quite encouraged about what's going on. I think sort of the final frontier for us is that you've got people who are planning and buying advertising. Almost all of it is on this one platform and on this one screen of digital. And then radio is over to the side and it's a lot of extra work to buy it. We think and we indeed talking to the experts all are encouraged by it. That as you move that to the same screen so they can easily buy radio and buy on the same criteria they're buying their other digital I think breaks down the biggest hurdle because you say when you've got the big reach you've got the impact, Almost every study shows radio has better engagement than almost any other medium. The results are great. You got more radio listeners today than you had ten or twenty years ago. Why isn't it performing as it should? And we think it's structural issue, and we've invested heavily in fixing that structural issue.
Richard J. Bressler: Yes. And can I just mention very quickly, just going back Stephen, because of your question, of your question then Bob's point, and then I'm just going to go back and repeat what we said a couple of times in this call? And here you have all within the last couple of days Amazon the Amazon announcement you saw and talking about getting our broadcast inventory into the DSP. And the TikTok announcement that was made this morning with ourselves and TikTok in addition to other aspects of the announcement and podcasting and everything else, you'll see that this also goes into broadcast radio with the rollout of a TikTok radio. Which will be a new iHeartRadio station. That will be done with TikTok. So to me, all the data points from an iHeart standpoint talk about the potential upside the future and the recognition of the capabilities of broadcast radio to deliver results.
Robert W. Pittman: And to be clear, one of our major goals is to get our Multiplatform Group back to revenue growth.
Stephen Laszczyk: That's helpful. Thank you both.
Richard J. Bressler: Thank you.
Operator: Our next question comes from Patrick William Sholl from Barrington Research. Please go ahead. Your line is open.
Patrick William Sholl: Hi. Thanks for taking the question. Just another question on podcasting. I was kind of curious on how you view the longer-term opportunity within podcasting to bring in political dollars? Like, how do you think that's currently being monetized versus where you think it can go longer term with the increased ad sales from local at that helps maybe buy a set higher.
Robert W. Pittman: It's a really good question. And if you look at all the chatter from last year's political spend, it's clear that people said wow, one of the real variables was podcasting. And so we think it is a very positive for political advertising moving to podcasting as well.
Patrick William Sholl: Okay. And then just in the ad market, is any sort of variance across some of the local markets and how that is trending? Any local headwinds? Or is it more broad-based?
Robert W. Pittman: Yeah. I don't think we've seen any big Nothing unusual. No changes there.
Operator: Okay. Thank you. Our last question comes from Ken Silver from Stifel. Please go ahead. Your line is open.
Ken Silver: Bob and Rich. Thanks for the time. A lot of my questions were answered. Let me just ask you two. I guess the first one is on the sponsorship and events revenue line. I know it's a small line. But it was down almost 10% in the third quarter and it's down almost 6% year to date. How like can you maybe help us understand that a little better? And like, what's the outlook for '26? Like, is that gonna sort of revert back to sort of stable or up? Or is there sort of something that's going on that's sort of going to continue to put pressure on this line item?
Richard J. Bressler: Yes. Look, I would just it's very it's really small numbers. In terms of some ups and downs. And remember, we've got all the large events that you guys all know about. We do 20,000 events in total as a company. So I think the small is just some not real, but small time issues. And as you think about it going forward, on your question again, we're not going to talk about anything specific going forward. But I think you can continue to expect the events business to be play the same role it has with iHeart. Both from an absolute dollar and from a promotional standpoint and very importantly, one of our key multi platforms. And again, I think if you again, another endorsement looking at our announcement this morning with TikTok, and the connection that we're going to bring and step up even more between artist creators, our community with the power of storytelling this is going to be another really great ability to continue to demonstrate to artists and to the advertising community and our listeners what we can do.
Robert W. Pittman: Yes. Let me just add on the events too. Is if you look at the brand attributes of anybody doing music or audio or anything, the one area where iHeart goes bonkers in terms of consumer is they identify us as the brand that has the big events. It has been tremendous for us in building the iHeartRadio brand. And now you think about not only we're building the iHeartRadio brand, but we're making a profit on it. And the second issue which is probably not fully captured in the numbers, is that when we do the big events we'll bring advertisers into them and we use it as a marketing opportunity for us and we often package together the events with other advertising as well which show up on other lines.
Ken Silver: Okay. That's helpful. So just to be clear, like, you haven't lost any significant partner sponsors for your event.
Richard J. Bressler: No. Okay. No. And that's implicit in the question. Zero. No. Yep. Okay. You. And then the follow the other one I wanted to ask you was, this quarter and I think last quarter, you started showing, the incrementals on, you know, margins on the digital and the decremental margins on the terrestrial, you know, the Multiplatform Group. And I think you're showing 90% decremental margin for Multiplatform. I'm just trying to get a sense of, is there a way to, like, meaningfully improve that?
Richard J. Bressler: We again, with the member of Cinemulti platform group, exact specifically, your question would say two things. If you look back from a trending standpoint, we've continued to make improvement on that. And I I think in terms of the the flow of the improvement on that for lack a better term, negative flow through or the flow through. If if you track that, we're happy to take you through that. And then the second, piece and and most important is continue to show the progress we're making on the revenue side. Remember, multi platform has got a fixed element more than our other platforms in it. And the incremental flow through is 75%, 80%, EBITDA margin flow through dollars even 85%. I highlighted political for last year, which is our highest flow through business. So it's a combination of continuing to get back to making improvement on revenue then positive revenue growth. And as we just announced today, with our $50 million in terms of monetization program and taking more cost out, continue to make sure we're taking advantage of all technologies, AI, all the other investments to bring more down to the bottom line.
Robert W. Pittman: Yeah. I mean, in summary, revenue growth is great because we've got high operating leverage on the Multiplatform Group. And then add that to cost reductions. And we think it's the responsible way to impact that line.
Ken Silver: Okay. Alright. Appreciate it. Happy holidays.
Richard J. Bressler: Thank you. You too. Thanks very much, Ken. With that, I'd like to thank everybody on the call. I all of our shareholders and stakeholders for taking the time listening to the call. And Bob, myself, Mike and the rest of the IR team are available anytime to answer any questions. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.